Operator: Ladies and gentlemen, thank you for standing by and welcome to the Westwood Holdings Group Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program Julie Gerron, General Counsel and Chief Compliance Officer. Please go ahead.
Julie Gerron: Thank you and good afternoon. Welcome to our second quarter 2020 earnings conference call. The following discussion will include forward-looking statements, which are subject to known and unknown risks uncertainties and other factors, which may cause actual results to be materially different from those contemplated by the forward-looking statements. Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today as well as in our Form 10-Q for the quarter ended June 30, 2020 filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information future events or otherwise. You are cautioned not to place undue reliance on forward-looking statements. In addition, in accordance with the SEC rules concerning non-GAAP financial measures, the reconciliation of our economic earnings and economic earnings per share to the most comparable GAAP measures is included at the end of our press release issued earlier today. On the call we have Brian Casey, our President and Chief Executive Officer; and Terry Forbes, our Chief Financial Officer. I will now turn the call over to our CEO, Brian Casey.
Brian Casey: Good afternoon everyone. Thanks for taking the time to listen to our quarterly earnings call today. Our last call took place in the early days of the global pandemic just three months ago. During this past quarter, we've gained more experience regarding the impact COVID-19 is having on the economy, the asset management industry and our company. Before I review the quarter, I want to take a moment to recognize and thank all the members of the Westwood team for the extraordinary efforts they're making each day for our clients. The health and safety of our employees and their families is a top priority, which means that nearly all of them are working remotely. They've gone above and beyond every day to make sure our clients are supported with everything they need. This quarter set records once again as the markets rallied from the first quarter slump with the S&P 500, posting its strongest quarterly gain since 1998. The divergence in performance between the major indices is one of the widest we've seen in decades. The strong rally in equities, despite weak economic data was led by the smallest companies and those with no earnings. The value style category remained challenged as both growth and tech surged ahead. Another factor affecting performance is that the S&P 500's five largest stocks comprising about 20% of the overall index have business models that could take advantage of the constraints of the lockdown, including working from home and they exerted an outsized influence on the S&P 500 returns. The impact of the top five stocks on the Russell 1000 growth index was even more pronounced accounting for about 40% of index performance. The path to recovery remains decidedly murky as COVID-19 continues to spread. Infection trends are worsening in key states like Texas, Florida and California and a second wave of closures is forecast as we work our way through earnings season. That said, companies with high-quality franchises and strong balance sheets are well positioned to weather the economic storm and should be in demand by investors. Our U.S. value equity products turned in somewhat mix performance. Our U.S. value strategies all outperformed during the first quarter's downturn, and our small-cap and large-cap select strategies kept pace during this quarter's upturn. SMidCap and large-cap lagged due to the sharp nature of the multiple expansion, which oddly benefited from the non earners the lowest valuation quintiles and businesses that are structurally and secularly challenged. LargeCap value stayed ahead of its Russell 1000 benchmark year-to-date and for the trailing year, and its peer rankings remain strong. Among its eVestment database institutional peers large-cap value is top quartile for the trailing three-year and seven-year periods and 26 percentile for the trailing 10-year period and it's in the top third for the trailing one-year period. LargeCap Select finished the quarter ahead of the Russell 1000 value benchmark and commands a top 20% ranking in the eVestment LargeCap Value manager universe for the trailing three-year time period. Our SMidCap strategy lagged the Russell 2500 value index for the quarter, but it's over 350 basis points ahead so far this year, which places it in the 29th percentile year-to-date, the 22nd percentile for trailing one-year and the 25th percentile for the trailing three-year period. Our portfolio managers have worked hard to compile this track record and we continue to see growing institutional interest in SMidCap. As I said earlier, SmallCap kept pace with the market rally adding to its relative outperformance against the Russell 2000 value on a year-to-date basis. SmallCap maintained its attractive peer rankings with a 36 percentile placement year-to-date, a top quartile ranking for the trailing three-year period and 18th percentile for the trailing five-year period. For even longer time periods, SmallCap value places in the 12th percentile for the trailing seven-year period and in the eighth percentile for the trailing 10-year period. While the absolute returns year-to-date remain negative, we are pleased with the relative performance of our U.S. value strategies versus their Russell value benchmarks during the unprecedented first quarter sell-off and the subsequent sharp rally in the second quarter. Protecting client capital during periods of volatility is appreciated by both clients and prospects and we appreciate that new and replacement searches will provide ample opportunities to grow assets over time. Let's turn now to our Multi-Asset group, which manages an array of strategies aligned across the risk and return spectrum. Our largest Multi-Asset strategy income opportunity gained ground in peer rankings and relative performance. Our process is based on asset allocation and stock selection using fundamental analysis to achieve the twin objectives of attractive returns and lower volatility that the team's first quarter tactical allocation changes helped income opportunity as the market stabilized. Our portfolio managers rotated between asset classes as valuations shifted, such as switching from agency mortgage-backed securities and into corporate bonds and equities. Income opportunity outperformed its blended benchmark of 40% S&P 500 and 60% Bloomberg Barclay's aggregate by over 250 basis points for the quarter and placed in the 13th percentile in Morningstar's 30% to 50% equity universe of managers. Its longer-term rankings remain strong, 20th percentile for the trailing five-year period and 12 percentile for the trailing 10-year period. Among its institutional peers, income opportunity is now top quartile year-to-date and 23rd percentile for the trailing one-year period. Our other Multi-Asset products continue to build solid track records and gain traction with investors by posting solid track records. Total return outperformed its benchmark by over 400 basis points and ranks in the second percentile year-to-date among institutional peers, while our high income strategy outperformed its benchmark by over 600 basis points. Our global convertibles and alternative income strategies performed exceptionally well. Strategic global convertibles long-only strategy outperformed the Thomson Reuters convertible global focus index by over 400 basis points. While our absolute return strategy, alternative income, rose in absolute terms nearly 600 basis points this quarter. Our mutual fund, WMNIX is 30th percentile year-to-date in the Morningstar market neutral group and top quartile for trailing one and five-year periods. Among institutional peers, strategic global convertibles has a top decile ranking for trailing one year and is 13th percentile for the trailing three-year time period. As an asset class, convertible securities remain attractively valued as new issues supply on pace for a record year has kept a lid on valuations, while providing abundant opportunities for our managers. In emerging markets, high levels of uncertainty and volatility prevailed as the world wrestles with the impact of COVID-19. The performance dispersion in U.S. equities driven by the largest index holdings is less apparent in emerging markets, but EM returns are heavily influenced by the China, Hong Kong region which accounted for about one-third of the quarter's returns and it was the only area to post positive returns year-to-date. Our emerging market strategy is underweight this region and performance for the quarter and most trailing periods lagged as relative over-weights in other regions did not keep pace. Shifting to Wealth Management, our teams in Dallas and Houston have been actively contacting clients to assist them through the market's uncertainty. We are integrating new colleagues as we build out a team, aiming to capture the next-generation of wealth. We launched our online portal during the quarter and rolled out a series of webcasts and virtual events which are providing an excellent way to engage with clients in this unusual work from home and social distancing environment. Despite the current economic uncertainties, our clients trust our ability to remain focused on a goals-based approach to keep them on target to achieve their long-term needs. Client retention was stable and we created new strategies to take advantage of the current market dislocation. By embracing an increasingly holistic approach to interacting with clients, assets have remained sticky. Client referrals are on the rise which we anticipate will translate to new business in the second half of the year. Our taxable select equity strategy was created to deliver a high-quality, low turnover, tax-efficient portfolio with thoughtful downside risk controls. Our downside capture during the first quarter was less than 80% and we are well ahead of the benchmark year-to-date even after the second quarter's sharp rise. We have harvested both gains and losses this year in an attempt to minimize tax bills for our clients. It's a strategy that resonates well not only with clients, but also with prospects many of whom share the belief that taxes will rise in the years ahead. We've devoted a lot of our energy and capital over the past few years to create a stronger wealth management foundation to better serve our existing customers and appeal to new ones. Financial planning is a core capability with a state planning expertise, tax-efficient portfolio management, private banking, and private equity rounding out our solution set. As we complete our digital platform this year, these services should resonate with prospective clients tired of the impersonality of big banks and brokerage firms. Despite the challenges of meeting new people in a COVID-19 environment we are finding new and better ways to connect with prospects. We're excited about the future of our Wealth business and the prospects for growth in the years ahead.  In our institutional and intermediary sales group, we had inflows of nearly $430 million offset by $1.4 billion in outflows, mostly in emerging markets where some large institutional clients withdrew funds. SmallCap was our most successful strategy generating positive flows during the quarter as new clients came on board and existing clients added funds. Gross sales across the institutional and intermediary channels increased to $430 million from $388 million in the prior quarter with positive net flows in SmallCap, SMidCap, and AllCap. Inflows were offset primarily by large outflows from our emerging markets equity strategies. Intermediary sales suffered from the pandemic which prevented face-to-face meetings with advisers. The team secured a key new platform approval for SmallCap which will enable us to call on new advisers and add to sales in the fourth quarter. On the sales side, our strengthened team is focused on adding prospects primarily in our U.S. equities and multi-asset strategies where search activity is increasing and our relative performance is strong. Several of our strategies have recently been approved at top consulting firms and our pipeline is stronger than it has been in years. Several large searches are on the horizon and we have an exciting opportunity overseas. Finally, our newly launched SmallCap Y Share Class and soon to be launched SMidCap Ultra Share Class will allow us to better compete in new institutional channels including 401(k) plans. Well, before COVID-19 struck, the asset management industry was experiencing significant disruptions and the pandemic's impact now and for this foreseeable future exerts even more pressure on companies to evolve to meet the challenge. These dramatic events have tested organizations including ours and will result in lasting change. Fortunately for us, Westwood has been preparing itself for some time making major investments in technology to reduce costs and gain efficiencies. As I mentioned last quarter, we decided to outsource trading. And in early July, we went live with Northern Trust as our outsourced trading partner. Outsourced trading represents a growing trend within the asset management industry as firms seek to maximize operational efficiencies and performance. Our clients will get better execution more competitive transaction costs and more detailed transaction cost analysis. We'll benefit from internal efficiencies as well as more flexible and scalable front and middle office solutions and we expect to save over $1 million a year in internal costs. Many challenges confront us in the current environment. Accordingly, with the full support of our Board we have crafted a strategic plan to restructure certain business areas to reduce operating expenses while continuing to invest in our long-term growth initiatives. As part of this plan, our Westwood International Advisors office in Toronto will cease operations towards the end of the third quarter. Reviews of other business units and products not deemed commercially viable in the long run are likely to lead to additional actions that will be covered in the third quarter call. We believe this plan will enable us to better manage our business in this environment as well as pursue an array of future profitable growth initiatives. Despite the near-term challenges, the good news is that our strong balance sheet enables us to continue to execute on numerous initiatives already underway to strengthen our business foundation.  Our U.S. value and multi-asset strategies are delivering alpha and we believe the market will appreciate the benefits of actively managed high conviction products in this economic environment. Multi-Asset solutions are in demand for investors looking for more efficient asymmetric outcome-oriented solutions, capturing upside in greater magnitude than downside never seems to go out of style.  Our institutional pipeline is growing, thanks to good product performance and the efforts of our dedicated sales professionals. This quarter, we launched new model implementation approaches to our high income and total return strategies alongside the new credit opportunities fund, we launched last quarter and our older strategies remain well positioned to perform and deliver alpha.  Our sensible fees platform provides clients with an innovative pricing option that enhances the attractiveness of our offerings by aligning management fees directly with positive client outcomes. Today uncertainty remains the only certainty and we expect industry-wide disruptions to continue. We firmly believe that the steps we've taken to reinvent ourselves have placed us in a strong position to survive and grow. Market disruption presents challenges that's for sure, but they also present fresh opportunities for those able to take advantage of them.  In this vein, we've had productive discussions lately with firms that admire the infrastructure we've been building to support a much larger business. As firms explore their options and contemplate their futures, we are confident that Westwood will be high on their wish list. We're a great place to work. We have the systems and technology in place to improve their business models and a public stock on which they can have a direct and meaningful impact in the years ahead. This is the perfect time to acquire high quality businesses and we are excited about the opportunities we are seeing.  Finally, let me repeat that the health and safety of our employees and their families is our first priority. All our employees are well, working remotely and completing their work efficiently. We understand that we have a business to run and we're working very hard to balance the company's needs with those of our employees as well as those of our clients and investors.  I will now turn the call over to Terry Forbes our CFO.  
Terry Forbes: Thanks Brian and good afternoon everyone. Today we reported total revenues of $15.9 million for the second quarter of 2020 compared to $16.7 million in the first quarter of 2020 and $21.7 million in the prior year second quarter. The decreases from the first quarter and the prior year second quarter were principally as a result of lower average assets under management.  Second quarter net loss was $2.6 million or $0.33 per share compared to net income of $1.1 million or $0.13 per share in the first quarter. The decrease primarily related to lower revenues foreign currency transaction losses and higher income taxes partially offset by lower operating expenses. Economic earnings a non-GAAP metric was $0.2 million or $0.03 per share in the current quarter versus $4.2 million or $0.50 per share in the first quarter.  Second quarter net loss of $2.6 million or $0.33 per share compared to net income of $1.9 million or $0.22 per share in the prior year second quarter. The decrease primarily related to lower revenues partially offset by lower operating expenses particularly employee compensation and benefits. Economic earnings for the quarter was $0.2 million or $0.03 per share compared to $4.8 million or $0.56 per share in the second quarter of 2019.  Firm-wide assets under management totaled $11.9 billion at quarter end and consisted of institutional assets of $6.2 billion or 52% of the total. Wealth management assets of $4 billion or 34% of the total and mutual fund assets of $1.7 billion or 14% of the total.  Over the year, we experienced market depreciation of $1.6 billion and net outflows of $1.8 billion. Our financial position continues to be very solid with cash and short-term investments at quarter end totaling $74.2 million and a debt-free balance sheet.  In the second quarter, we repurchased 407,697 shares of our common stock for an aggregate purchase price of $8.1 million. We currently have authority to repurchase an additional 10 million of our outstanding shares.  That brings our prepared comments to a close. We encourage you to review our investor presentation we have posted on our website reflecting second quarter highlights as well as a discussion of our business, product development and longer-term trends in revenues and earnings. We thank you for your interest in our company and we'll open the line to questions.
Operator: [Operator Instructions] And our first question comes from the line of Mac Sykes from Gabelli. Your question please.
Mac Sykes: Good afternoon, everyone.
Brian Casey: Good afternoon, Mac.
Mac Sykes: Brian, I want to just get a little more color on the EM operations going forward. Specifically, I assume you'll be running it out of the Dallas offices. How much is in the strategies today? And what do you anticipate as being the cost benefits I guess later in the year 2021 from the change?
Brian Casey: Yes. So, as we said in the press release Mac, we are discontinuing our operations in the emerging markets in the third quarter. And the Toronto office will close by the end of the third quarter, and we do not anticipate managing that strategy any further. The office is currently in a loss mode, and we will have more information as to what that potential savings could be on the next call.
Mac Sykes: Okay. And then in the marketplace today, we've heard a lot about fintech and some of these IPOs coming and the valuations, and you have that investment in InvestCloud. I was just wondering is there the potential for more significant realization in that investment, given the -- or just with the carrying value at around $8 million today?
Brian Casey: Well certainly, it's an area that is very hot right now, and fintech multiples are in the world of 10 times revenues or even higher. So certainly, that's a business that continues to grow and one that we have already marked up in value in the past six months. And as long as their business continues to flourish, which it is doing, we could expect that investment would perform in line with how other fintech investments are doing.
Mac Sykes: Great, thank you.
Operator: Thank you. [Operator Instructions] And this does conclude the question-and-answer session of today's program. I'd like to hand the program back for any further remarks.
Brian Casey: Thanks, Jonathan. Well, I'd just like to reiterate in closing that we'll continue to execute on our growth and cost savings initiatives to improve our results. We believe we're on the right path. Our performance is competitive, both short-term and long-term, across both U.S. Equity and Multi-Asset. We've restructured our pricing and expanded available vehicles to include new share classes and model delivery. We've introduced sensible fees in some of our mutual funds. We continue to implement our investments in technology and outsourcing that really just started four years ago to make us more efficient in the years ahead. We are rightsizing the organization to eliminate unprofitable products and reduce costs wherever we can. And in institutional, we now have over $100 million of new wins awaiting funding, and the new opportunity pipeline is significant. We've won a number of consultant approvals over the past year, and we're well positioned to continue to grow new sales, particularly as the demand picture improves for U.S. value strategies. In intermediary, it's been tough during COVID, but we believe that sales growth is well-positioned to resume to the levels that we saw in the first quarter once we're able to return to normal business conditions and see advisers in their offices. We'll also be able to expand our sales footprint in small-cap starting in the fourth quarter, once we've onboarded a new platform approval from the past quarter. And our Private Wealth businesses in Dallas and Houston are healthy. We're rolling out new services and technology over the balance of the year, and we've really made it a priority to make our clients well supported during this unprecedented period. And finally, we remain financially strong with cash and investments of over $85 million, which is $10.23 per share and no debt. So, I want to thank everybody for taking the time to listen to our call, and please reach out to either Terry or me or visit our website at westwoodgroup.com, if you have additional questions.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.